:
Operator: Good morning, ladies and gentlemen, and welcome to the third quarter FY'10 earnings call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. We will not take questions from the media. Please note that this conference is being recorded. I will now turn the call over to Mr. Brian Cooper, Chief Financial Officer. Mr. Cooper, you may begin.
Brian Cooper: Thank you, Sandra. I want to welcome everybody to our conference call covering the fiscal third quarter results for Westell Technologies. We issued our earnings new release last night and you can find the copy posted on our website at westell.com. Today Rick Gilbert and I will update you on the business and discuss our financial results. Before we get started, I want to point out that our presentation and discussion contain forward-looking statements about future results, performance or achievements, financial and otherwise. Words, such as believe, expect, estimate, plan, trend and similar expressions are intended to identify such forward-looking statements. These statements reflect management's current expectations, estimates and assumptions. These forward-looking statements are not guarantees of future performance and involve risks and uncertainties that may cause Westell's actual results, performance or achievements to differ materially from those discussed. A description of factors that may affect our future results is provided in the company’s SEC filings, including Form 10-K for the fiscal year-ended March 31, 2009 under the section Risk Factors, and in our other SEC filings. The forward-looking statements made in this presentation are being made as of the date and time of this conference call. Westell disclaims any obligation to update or revise any forward-looking statements based on new information, future events or other factors. Now, I’d like to turn the call over to Rick Gilbert, Chairman and Chief Executive Officer of Westell.
Rick Gilbert: Good morning and thank you for joining Westell Technologies third quarter fiscal 2010 earnings conference call. I am Rick Gilbert, Westell’s Chairman and CEO. During this call I will briefly discuss the Q3 results and then turn the call over to Brian Cooper, who will discuss the results in more detail. At the end of the call, Brian and I will answer questions. We've now completed the first three quarters of our fiscal year 2010. For those of you who are not familiar with our plan, we are focused on two goals; returning Westell to profitability and generating positive cash flow. Our results this year have been achieved with a very deliberate emphasis on Westell's bottom-line versus top-line growth. During the third quarter we recorded earnings per share of $0.04 on a fully diluted basis, identical to our EPS for the prior quarter. We also built cash and cash equivalents from $53.9 million to $58.1 million. An increase of more than $4 million, which was a especially good performance given our use of $1.4 million during Q3 to repurchase Westell stock. When we compare the financial metrics for Q3 on a year-to-year basis, we see that while revenue declined 12%, gross profit was up 11%, gross margins were up 27% and total operating expenses were down 29%. The nine months year-to-year comparisons shows a dramatic improvement in EPS from a loss of $0.21 per share in the nine months ended on December 31, 2008 to a gain of $0.11 per share for the nine months ended on December 31, 2009, an improvement of $0.32 per share. Now I would like to make comments about the performance of our three business units, each of which produced results that met or surpassed our internal expectations. Customer Networking Solutions has experienced another solid quarter with significantly reduced losses compared to Q3 of the prior year despite the expected decrease in total revenue due to reduced shipments of the UltraLine Series3 product line. While importantly CNS maintained the recent shift towards sales of higher margin products. During the third quarter, the CNS team also made good progress in negotiating contracts with both operators and suppliers. In particular, we have recently signed a multiyear extension of our contract supply customer [primus] equipment a new software release Verizon FiOS network. On the strategic front, we have now chosen the initial application of our home-cloud initiative. Home-cloud is our undertaking to build software-based broadband product and services intended for residential users. At this point I feel confident that increased investment in the home-cloud development program is well justified and such investment will began during the current quarter. Outside Plant Systems experienced the typical construction season slowdown that we had expected to see during the holiday period. This coupled with tight inventory controls by some of our larger customers and continued softness in T1 and DS3 business services resulted in the Q3 revenue coming in slightly slower than Q2. However, the OSP team maintained good focus on bottom line performance and we recorded an operating profit that actually improved on the Q2 result. As we plan for the next fiscal year, we have set a high priority on an OSP initiative to supplement our current wireless backhaul operating with more Ethernet-based solutions. Increased investment for this strategic initiative will also began in the current quarter. ConferencePlus has seen some stabilization of revenue within the current customer base coupled with the expected slowdown in demand for conferencing services during the holidays. The result was the ConferencePlus revenue declined slightly from Q2 that fell well within the range of our internal forecast. Once again ConferencePlus delivered a very solid operating profit in Q3. During the third quarter, ConferencePlus completed the implementation of our first managed bridge solution for a large global company. This conferencing model should lead to increased revenue, sustainable profits and better customer retention. This initial application is off to a great start and we hope to duplicate its success with other customers. I would like to conclude with a few remarks about our outlook for the remainder of the fiscal year. As I stated in our last call, we expected to see some softness in the top line results across our business units for Q3 and Q4. In fact we did see this affecting Q3, and we continue to experience some slow revenue in the current quarter. That said, I expect Westell to post another profitable quarter on a consolidated basis in Q4. Finally I would like to say how proud I’m of the job being done by the team here at Westell. For the past several quarters, even in challenging economic times, we have demonstrated our ability to generate operating profits in cash. Now it's important to demonstrate our ability to build new products and services that will give us a strategic advantage for the longer-term. For that reason, we’ll prudently invest in support of some of our targeted initiatives within the business units during the coming quarters. I look forward to reporting on the progress of these developments in future calls. With that I'd like to turn the call back over to our CFO, Brian Cooper who will discuss our financial results before we open the call for your questions. Brian.
Brian Cooper: Thank you, Rick. I will review the financial highlights for the quarter, our third profitable quarter in a row. Please note the last night's news release provides our financial tables, which we have expanded to provide more detail about our three divisions. The tables also provide year-to-date results. For the quarter we are reporting consolidated revenue of $42.8 million, down $6 million versus the prior year quarter. It’s worth noting that for the first nine months of the fiscal year, revenue remains ahead of the comparable prior year period by $13.7 million or about 10.6%. Most of the year-to-year revenue decline in the quarter is attributable to a $5 million revenue drop in CNS. This includes the 6.7 million drop in revenue from our UltraLine Series3 that was offset by increased revenue from other CNS products. As many of you know the UltraLine Series3 carries narrow gross margins. So, this shift in the mix of products helped lift CNS gross margins from 8.6% a year ago to 17.4% last quarter. In addition even with a lower top line, CNS gross profit dollars were nearly $1.4 million higher than a year ago. Revenue from the Outside Plant systems division was flat for the quarter compared to the year ago quarter. This is a solid result given the economic factors and customer activity that Rick already talked about. Like CNS, Outside Plant's gross margin and gross profit dollars were up as a result of a favorable product mix. The division's gross margin reached 44.8% and gross profit rose by $500,000. ConferencePlus revenues for the quarter were down 9.8%. We believe that this parallels the decline experienced by other conferencing companies and that it reflects continuing softness in business spending generally. In spite of the top line softness, ConferencePlus was able to hold its gross margin relatively constant at 47%. Aggregating these results consolidated gross profit was $3.8 million for the quarter, up $1.4 million against the prior year. Again this is higher gross profit dollars on lower revenue. Of course operating expenses continue to be an even bigger part of our story this year. We kept a firm hold on spending even beyond our own target. Consolidated expenses dropped from $16.5 million a year ago to only $11.7 million in the quarter. The combination of higher gross profit and lower expenses boosted our earnings, which improved by $6.8 million versus last year. Net income was $2.7 million or $0.04 per diluted share compared with a loss of $4 million or $0.06 per share in the same quarter last year. I also want to comment on two additional items. The first is a tax item that contributed $767,000 or about a penny per share to the bottom line for the quarter. It is a result of a refund of alternative minimum tax credits that the company claimed on a tax return filed in the December 2009. This refund was available as an alternative to bonus depreciation under the stimulus provisions of the Housing and Economic Recovery Act of 2008 and the American Recovery and Reinvestment Act of 2009. The second item was a correction to our stock-based compensation expense. We use third-party software to account for our stock options and restricted stock. This month, we discovered that this software program was incorrectly calculating award forfeitures, resulting in an understatement of our expense. The correction of prior year amounts is an additional expense of $730,000 in the fiscal third quarter. It is the same amount after-taxes so the earnings impact is approximately $0.01 per share. As with all our stock-based compensation this correction is a non-cash item. That concludes my comments about the income statement and divisional results. Rick has already noted our cash and share repurchases, but I would like to reiterate those points anyway. We spend $1.4 million and purchased 1.3 million shares during our third quarter, and there is approximately $6.9 million remaining for repurchases under our Board authorization. Even with that use of cash for share repurchases, our cash and investments increased by $4.1 million during the quarter to $58.1 million. This means the cash increased by $14.2 million during the 12 months of calendar year 2009. You can see other details about our balance sheet and cash flow and the schedules that are included in our news release. That concludes our prepared remarks. Operator, I believe that Rick and I are ready to open lines for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). The first question is from Jeff Linroth from Leaving It Better. Please go ahead.
Jeff Linroth - Leaving It Better: The UltraLine Series3, the slack demand, I mean the reduction is, is it due to slack demand or would you say that it's losing market share or was there any kind of fulfillment problem. How would you describe the main reasons behind that drop?
Rick Gilbert: Jeff if you noticed Verizon put out a press release on Tuesday January 26th where they talked about the files and stalls for the fourth quarter and they installed little over 150,000 new files customers. That’s down from year ago, where it was about 300,000. So certainly the current demand and this maybe temporary, but the current demand is down, and they had a good inventory from both their suppliers. And so we’re not at all surprised by the decrease in UltraLine Series3 and as Brian pointed out since it’s one of our lower margin products it’s not such a bad thing in any case.
Jeff Linroth - Leaving It Better: I have to say for that particular reason it didn’t break my heart. The last time when you were talked about buyers just in general being careful in managing orders and in fact managing the inventory down. Do you have any feel for inventory levels at your major customers and compared to last quarter and kind of have their feeling about current levels.
Rick Gilbert: Well, I think across the board especially with the two equipment companies we’re seeing careful management of inventory levels by all the customers, which is good. I think, the important thing for us is to get as accurate forecast as we possibly can and we’re working hard with our customers related to that. The good news is I think we continue to pickup market share with the number of customers and as the economy freeze up a little bit and there is more demand for broadband services in the large customers we expect to do well.
Jeff Linroth - Leaving It Better: That’s great news about the market share. Is the market share and the fact that you are enjoying because of the mix greater, greater mortgage, margins rather. Do you see the shift is representing anything more than a random event? Do you see a change in preferences that are going to possibly make this a more consistent mix in this as it is now compared to how it has been?
Rick Gilbert: Yeah. Well, you know, I mean we’ve been very focused as I said on the bottom line and I think it’s important to note that we’ve done in division from single digit gross margins to last quarter 17.4% gross margin. So, we're happy with that. Part of it is certainly mixed. You know a part of it is the customer, the particular customer we're selling to, but the trends we see in this area are that there’s more and more shift on the users preference from the low-end modems, the simply modems to the more intelligent gateway devices and that is good because those are the devices we like to see installed. Those tend to be more devices that are higher margin and I believe we see that trend in virtually all the copper based broadband customers at this point. Now we still sell lots of modems but we are selling increasing numbers of gateways as well and that’s important.
Jeff Linroth - Leaving It Better: Okay. Well, I've got a couple of questions. I’ll get back in the queue and let someone else have a chance.
Operator: The next question is from Jim Stone from PSK Advisors. Please go ahead.
Jim Stone - PSK Advisors: I've three questions and I’ll give them to you. One, can you talk about the competitive environment and then question two what’s your market share in that and then number three is if you look at calendar '010, what three to four product areas do you think will be the growth leaders when you compare the '010 volume to the '09 volume? And I’m not looking at for numbers, I’m looking for just which are the big ones?
Rick Gilbert: Jim, can I ask, when you asked about the competitive environment, is there a particular division that you are eluding.
Jim Stone - PSK Advisors: No, just in general, what you see in the competitive environment where you’re winning, where you’re losing. Places where you may have a big share etcetera?
Rick Gilbert: Okay. That’s a fair question. So, let me just quickly get through the three divisions. In CNS as I just mentioned to Jeff, we have been gaining market share and most of our customers are staying stable. I think our market share hasn’t changed significantly at Verizon but in the other customers are gaining we're gaining market shares. So, we are happy with those results. That said, as I had said in the script that we're developing new products too and trying to shift more of our products to software base but on the products that we currently sell we are happy with our market share gains. In terms of competitive environment, who do we compete with? The big competitors for us vary by product but in the modem areas of course, Motorola is a competitor for us in the gateway area, people like 2Wire and Actiontec are our competitors. And those are the main people we see in the marketplace. There are some Chinese players at the very low level end but in general we don’t see them getting much traction in the North American markets. In terms of Outside Plant it's a bigger competitive spread because there are lots of little competitors competing with various types of products and remember Outside Plant building a wide variety of products ranging from cabinets and cables to fuse panels to protection to remote monitoring. And what we don’t have there is sort of the 900 pound gorilla competitor. There is a lot of smaller competitors that we work with, and we work against in different areas. But we like about Outside Plant is that their relationships are very strong. So, in many cases now we’re actually working with customers very early on to develop custom solutions to problems, and we are focusing more and more on that area. And when you do that you actually eliminate wide variety of the competitors very early on in the game because you are the one is actually developing the solution. And again Outside Plant focus has been more and more on the wireless backhaul market, where quite a bit of their business comes from there at this point, and of course on the emerging smart grid markets and so those are the areas there. In terms of ConferencePlus there is a lot of competition. To be honest in the conferencing services area it’s a very tight cutthroat world out there. The advantage we have is very high quality in premium services, really install the team and as what they are doing with conferencing the disadvantages our scale, which we’ve mentioned in the past, which does have an affect on the underlying cost of the stuff we needed to have in place to provide the services. And that’s why you see us focusing more and more in ConferencePlus on those areas of customers that are less price sensitive and more, more concerned those vertical markets and more concerned about the types of service and the quality of services we offer. And the managed bridge solution that we talked about for instance, is a new thing for us and in the industry we think it's very promising. But the kind of competitors we have in ConferencePlus would be people like InterCall and Premiere and some other bigger players like BT. Market shares as I really I'm not going to go through exact percentages of market shares for competitive reasons.
Jim Stone - PSK Advisors: That's fine, wouldn’t expect it.
Rick Gilbert: Yeah. Did I answer your third question? And your third question was what products we are most focused on?
Jim Stone - PSK Advisors: No, which as you look at '10, which products or product areas are really going to be your drivers in growth?
Rick Gilbert: From an investment standpoint, as I said we are investing in new areas that we'll not be massive drivers in growth in this fiscal year '10. So, we still have our products that we need to be gaining market share and selling during that timeframe..
Jim Stone - PSK Advisors: Let me say why I'm asking this question because if I know the product areas that are really to accomplish to growth that's where I can focus my attention.
Rick Gilbert: Okay. But again it varies by division, when I look at CNS the product areas that are going to be the high growth areas are the broadband gateways, okay. Those are the ones that are really most interesting to us. We are actually seeing a lot of sales, a lot of margin share. I mean a lot of market share growth in the modem areas as well, which is so much surprising, given the trends I just talked about. But the gateways are the ones we're most interested in and that's why we expect most of our growth to come from. That said, the most interesting area for us in that is the software that goes into those gateways and other products. Okay. Then in terms of the Outside Plant we do think most of our growth with come from wireless backhaul during the 2010 timeframe and we should begin to see some real revenue from the utility companies on the smart grid and broadband applications and we made the small announcement a few weeks ago but the trials we have are going quite well in the utilities area as well. And as I said in ConferencePlus the area that we are interested in trying to really grow would be the new application such as to manage [Verizon] application.
Operator: The next question is from Peter Schleider from RKB Capital. Please go ahead.
Peter Schleider - RKB Capital: Now I wonder if you could give us a little more inside into home-cloud and net strategy. And then also you made a comment about the Verizon contract and just like to know if we can embellish that a little bit?
Rick Gilbert: Okay. Let me start with the Verizon contract, I think as everybody who has been on these calls knows something that’s been in the works for a long-time is renegotiating a new contract on the UltraLine Series 3. As I said it’s a multi year contract, it's for a customer-premises equipment and additional software releases. And we are very pleased that we were able to gets to the point where we can sign something that made sense. So that’s in place. And we're happy with that result. In terms of the home-cloud area, I have to be a little careful Pete because I don’t want to give too much competitive information away but I can give you some. As you know, as many of you know we have been spending a fair amount of time, looking at various applications that could run either on our intelligent gateways or on a device it sits next to our intelligent gateways that fits into the home and is brand independent and does cloud-like applications within the residence. And we have now reached the point having done a lot of experimentation that we have actually chosen our initial applications. We are putting a full development team to go forward and implement those initial applications and we’re quite excited about the whole program. We’ve also applied for and received the trade mark [HomeCloud] and we’ve also recently acquired the [HomeCloud] URL, called [homecloud.com], which will be important in the rollout of these products. It should be very interesting.
Peter Schleider - RKB Capital: Can you give us sense on the timing of some of the first applications?
Rick Gilbert: Well, we're going to move as fast as we can, but as I said in the last call that will about a year before we expect to see any revenue and this is not a trivial application set, this is complex stuff. So its not three months from now we're going to be really seeing a product, but I am hoping to have revenue generated in the next fiscal year.
Peter Schleider - RKB Capital: Okay. And then lastly on the stock buyback, does that continue into the current quarter?
Rick Gilbert: Brian do you want to check it?
Brian Cooper: Sure. Yeah, Pete, the board authorization actually expires in March. So we will be looking at that again and recommending to the board that we reconsider our opportunities there. So it’s not going to continue immediately, but we’ve been very conservative in our cash obviously. But we are comfortable with the notion of buying back stock and will continue to consider doing that in on an opportunistic basis.
Peter Schleider - RKB Capital: Thanks. Congratulation on the cash generation, that's great good work.
Brian Cooper: Thank you, Pete.
Operator: (Operator Instructions). The next question is from Brian Horey from Aurelian. Please go ahead.
Brian Horey - Aurelian: I just want to follow up on few of the questions. With regard to the Verizon contract, I mean you can’t talk in any detail about it, but just at a high level, I mean, are you comfortable now that that’s improved to the point, where you’ve got a viable business opportunity and relationship that works for Westell as well as for Verizon?
Rick Gilbert: Well Brian, you’re right that we have strict non-disclosures in terms of details of contracts. But I think it’s safe to say that we’ve stated in earlier, our calls that we want do business that is in profitable and realistic and we did sign the contract, probably you can draw your conclusion.
Brian Horey - Aurelian: Okay. Okay and with regard to the home-cloud opportunity, is this something that you’re anticipating will be marketed through the carriers?
Rick Gilbert: It certainly one option is to market it through carrier channels. There are other channels that are intriguing as well. And again I wish I couldn’t talk much more about the details because I’ve been in the industry for a long time and I'm quite excited about the home-cloud opportunities here. As I said in my comments, I hope to be able to give you more details as we’re further down the road. But the carrier channels are one opportunity and there are other for us non-traditional channels that we think are quite intriguing as well.
Brian Horey - Aurelian: Okay. With respect to the Ethernet solutions that you talked about in the OSP segment. Can you give us a sense with how big you think that opportunity is relative to the current sort of businesses that you have in the area?
Rick Gilbert: Sure. In fact maybe it would be helpful to talk to a little bit more about what I meant by the Ethernet solutions. Wireless backhaul, as I think a lot of people on this call know is important. There is a lot of wireless traffic and usually backhaul back to the core fiber or our copper networks and there are several ways to do it. And we have been working with copper and fiber primarily so for and have been pretty successful. When you look at all of the various products we’re selling Outside Plant and where they are being applied probably the majority of them are applied to wireless backhaul solutions, a majority of the revenue is probably wireless backhaul solutions to this prospective at this point. But as we see the development of the marketplace, it looks to us like there’ll be more and more backhauls on Ethernet-based solutions. And those are the solutions we understand well obviously with our CNS organization. And so what we want to make sure, we do is we keep following what the market needs in terms of additional wireless backhaul solutions and so Ethernet is the next step. The other big applications for wireless backhaul are fiber-to-cable, which is pretty popular we can play in parts in that area already. And then finally wireless backhaul or wireless data, which is microwave or wireless and we do not play heavily in that market segment.
Operator: The next question is from Richard Greulich from REG Capital. Please go ahead.
Richard Greulich - REG Capital: Good morning, two questions. You had mentioned increased investment that will take effect this quarter in two areas, the Outside Plant and then the home part initiative. Will we see a measurable increase in R&D expenses starting this quarter as result of that?
Rick Gilbert: Well, the first thing I wanted to make sure that you people understand is we have been investing in these application along with the internal resource that we already have on board. While we did say is that we are going to increase the investment, but we’re going to do a prudently and carefully. So, it’s not going to be a massive shift but there will be an increase in R&D spending in those two divisions probably on the order of 5%. It could be 10 to 20 people total.
Richard Greulich - REG Capital: With the new contract signed with Verizon does the pricing of that take effect this quarter or is there a lag before the pricing takes effect?
Rick Gilbert: The pricing took effect immediately.
Operator: The next question is from Jeff Linroth from Leaving It Better. Please go ahead.
Jeff Linroth - Leaving It Better: Yeah to talk about it if you would, the reception that you got at the conference I know you went to least one in November and you still have for the year, in the coming calendar year where you anticipate being, including may be a mention of Chris, Tim and Brian Powers might be having representation.
Rick Gilbert: Well, we’ve just started going to Investor conferences. We've had a number of meetings with institutional investors that are one-on-one but we have gone to a couple of conferences one in the West Coast with AEA and one in the East Coast where we took some slot actually at the Needham Technology conference. We met a lot of great investors and we told them the story that I think we've been telling you, our investors all along that this is the year that we've really been focusing on bottom-line versus top-line. We've been focusing on getting all the basic block and tackling completely in place and really running the company as efficiently as we can. And at the same time, to make the point that, we do need now as we go into our next fiscal year and I hope this came out clearly in my comments that now that we've done that we need to be transitioning most of our effort towards helping strategic additional products that add to our long-term revenue. And so we are doing more shifting at this point and I think that it is encouraging to some investors instead of doing sort of shotgun blast of investment we're doing. We did a lot of homework on where we're going to invest and we're investing in very prudently, in very targeted areas and we will measuring those carefully as we go forward. But that’s pretty much the story we've been telling which is accurate. And we're confident that it’s the right thing to be doing especially in this economic climate.
Jeff Linroth - Leaving It Better: And do you expect to continue to be participating significantly in 2010, sort of talk about this transition as well as it’s a great story about how the house can put in order and so, I'm interested to know what you anticipate for the coming year in this area?
Rick Gilbert: We will be participating in more investor advancing and conferences and either presenting or doing one of ones. But we feel confident that we can spare a little bit more of our time to be honest in Brian’s case and in my case to go at this conferences. You asked about the GM’s they're pretty heads down on in their businesses. We haven’t tend to lot of the GM’s out to investors some of the investors have visited us and we trying to make the GM is available for our investors to visit, when we can, but probably be most Brian and I out in the field.
Jeff Linroth - Leaving It Better: Okay. And lastly, I think you gave a lot of really helpful information. And how about the progress toward the software and service addition, the transition that you talked about last time. Last time you soft of indicated a concern about your rate of progress in this transition. How do you feel now and what are the specific issues now, if there any different than they were in last quarter?
Rick Gilbert: Well, we have a lot of work to do still but I’m happy with our rate of progress. I think we’ve gotten to the point, where we really got well defined set of targets here on the home-cloud initiative and now simply a matter of brining in the people the additional people we need to implement the stuff and get as quickly as we can.
Jeff Linroth - Leaving It Better: Well, that’s all I have. I want to thank your for yours and the team, extraordinary results over the past few quarters and I really appreciate your approach going forward.
Rick Gilbert: Thanks again Jeff.
Operator: (Operator Instructions).
Rick Gilbert: It looks like that’s probably all the questions. And I want to thank everybody for joining us and we look forward to reporting our fiscal year results for the next call. Thank you very much.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may all disconnect.